Operator: Good day, ladies and gentlemen, and welcome to the Square Fourth Quarter 2020 Earnings Conference Call. I would now like to turn the call over to your host, Jason Lee, Head of Investor Relations. Please go ahead.
Jason Lee: Hi, everyone. Thanks for joining our fourth quarter 2020 earnings call. We have Jack and Amrita with us today. We will begin this call with some short remarks before opening the call directly to your questions. During Q&A, we will take questions from our customers in addition to questions from conference call participants. We would also like to remind everyone that we will be making forward-looking statements on this call. Actual results could differ materially from those contemplated by our forward-looking statements. Reported results should not be considered as an indication of future performance. Please take a look at our filings with the SEC for a discussion of the factors that could cause the results to differ. Also, note that the forward-looking statements on this call are based on information available to us as of today's date. We disclaim any obligation to update any forward-looking statements, except as required by law. During this call, we'll provide preliminary gross profit growth results for the months of January-February. These represents our gross profit, gross results for January and current estimate for February performance. These numbers are not final as we have not yet closed our accounting financials for the month of February, and our monthly results are not subject to interim review by auditors. As a result, actual January and February results may differ from these estimates. Also, we will discuss certain non-GAAP financial measures during this call. Reconciliations to the most directly comparable GAAP financial measures are provided in the shareholder letter on our Investor Relations website. These non-GAAP measures are not intended to be a substitute for GAAP results. Finally, this call in its entirety is being audio webcast on our Investor Relations website. An audio replay of this call will be available on our website shortly. With that, I'd like to turn over to Jack.
Jack Dorsey: Thanks, Jason, and thank you, everyone, for joining us today. 2020 was a tough year for many. Our focus was to help our customers through it all, which required us to adapt and evolve quickly. I believe this is an important attribute for any organization and I'm proud we continued to demonstrate that. We also took the opportunity to act more broadly by announcing our plans for our operations to be carbon net zero by 2030, and launched our Bitcoin Clean Energy Investment Initiative, a $10 million commitment to support companies that will help drive adoption and efficiency of renewables within the Bitcoin ecosystem. We plan to reinvest any gains back into the funds and are exploring opening it up for participation by like-minded companies. We'll share more details on our environmental and social initiatives next month in our 2020 corporate social responsibility report. In addition, today, we announced $170 million purchase of Bitcoin on top of the $50 million we bought in the fourth quarter. Why are we doing this? We believe the Internet needs a native currency, and we believe Bitcoin is it. We believe it has highest the probability of empowering more people in the economy in a fair way. We're doing a lot to ensure this from a product, open source development and open patent perspective. And by us owning Bitcoin, our incentives are aligned with skin in the game. And now for some updates on our business. Cash App continued to see strong adoption both from new and existing customers. In December, Cash App had more than 36 million monthly active customers, up 50% compared to last year. We saw customers increase their usage of products beyond peer-to-peer transactions, including use of our Visa Cash Card, Cash Boost and Bitcoin. Boost is our Instant Rewards program within our Cash Card that enables customers to receive unique discounts based on their location and other attributes. In the fourth quarter, active Boost customers spent double that of other Visa Cash Card customers. We also recently launched a special Boost, which a customer locks after receiving their first paycheck in the Cash App and a Bitcoin Boost, giving people a way to earn Bitcoin on all Cash Card purchases. As more of the world has discovered the value of Bitcoin, Cash App continued its focus to make Bitcoin more accessible and more useful. One example of this is enabling people to change the default denomination unit from BTC to Satoshis, which is 100 millionth of a Bitcoin also known as sats to help people realize you don't have to own a full Bitcoin and can stack sats instead. In the fourth quarter, Bitcoin volumes per customer increased more than 2.5x compared to the same period last year, mostly driven by buying activity of both existing and new customers. In 2020, more than 3 million customers bought or sold Bitcoin in Cash App. And in January 2021 alone, more than 1 million customers bought Bitcoin for the first time. Our Seller ecosystem continued to grow upmarket and attract larger sellers as we saw mid-market sellers use 2.5 of our products on average in 2020. Nearly all mid-market sellers use our team management product to schedule staff and view real-time performance and sales analytics for their workforces. And in 2020, approximately half of our mid-market GPV came from sellers with integrations into our developer platform, which enables the data-driven way to process payments using custom software, build unique commerce experiences and connect with existing business systems. Our sales team has played an important role in our growth upmarket. In the fourth quarter, 40% of mid-market Seller GPV came from sellers who had been engaged by our sales team. The team also focuses on educating existing sellers about our broader ecosystem. We use machine learning to identify sellers most likely to adopt more products and which of our solutions are likely to be most relevant. This help drive a 15% increase in product adoption among existing mid-market sellers in 2020. We plan to continue this work and intend to double our sales team in 2021. So what’s our focus for the year ahead? For Cash App, we’re going to focus on increasing the transaction limits across the ecosystem, expand our deposit capabilities and increase the quality of our customer service, all in order to strengthen our foundation and reach new customers. We’re also going to double down on our commitment to Bitcoin and continue to look for new ways to connect our product lines within the Cash App. For the Seller business, we will continue focus on growing our omni-channel capabilities, expand globally and increase our financial service offerings to sellers of all sizes. And with that, over to Amrita.
Amrita Ahuja: Thanks, Jack. There are three topics I’d like to cover today. First, a look at our performance in 2020 and in the fourth quarter where we delivered strong gross profit growth. Second, an update on our business through mid-February and what this could mean for growth going forward. Third, a look at our cohort economics for Cash App and Seller, which give us confidence to invest for the long-term. Despite 2020 being a year of extreme uncertainty, our results in the fourth quarter and full-year speaks to our ability to both help new customers adapt during a dynamic environment and reach new customers. In 2020, gross profit was $2.73 billion, up 45% year-over-year, or 48%, excluding Caviar. It was a year of strong growth where we improved our gross profit growth rate over 2019 and also diversified our ecosystems. Seller generated $1.51 billion of gross profit in 2020, an increase of 8% compared to 2019. Our online channels delivered more than 50% GPV growth year-over-year and became a growing portion of our mix. Cash App delivered incredible growth in 2020, up more than 2.5 times year-over-year to $1.23 billion in gross profit and now represents nearly half of the company’s gross profit. We have continued to diversify Cash App business model with scale. In 2019, Cash App had only one revenue stream with $100 million in gross profit. And in 2020, we had four with approximately $100 million or more, each of which grew at over 100% year-over-year. 2020 was also a year that we invested in our business and in our customers with compelling returns. We invested in our customers in a variety of ways, including by accelerating critical product launches, allowing sellers to pause software subscriptions, helping sellers and individuals access government funds and providing useful rewards for Cash App customers through Boost at a time they needed it most. We also invested in our business by continuing to build out our teams to drive product innovation and by deploying go-to-market initiatives to expand our reach. Let’s now turn to the fourth quarter, where gross profit was $804 million, up 52% year-over-year, or 54% growth, excluding Caviar. Looking at some of the drivers for the quarter, first, we’re seeing growing engagement and monetization with Cash App. In the fourth quarter, Cash App generated $377 million in gross profit, an increase of 162% year-over-year. Cash App benefits from the compounding effects of growing our customer base while also increasing engagement and monetization per customer. We saw these dynamics drive growth in the fourth quarter as we scaled our network to more than 36 million monthly transacting customers, an increase of 50% year-over-year. At the same time, we increased gross profit per monthly transacting active customer by 70% year-over-year to $41 in the fourth quarter. By expanding the breadth of our product ecosystem, refining features and continuing to build on our foundation, we’ve driven greater engagement across our ecosystem. In 2020 and the fourth quarter, we increased adoption across all of our products beyond peer-to-peer for Cash App. Newer customers are coming to Cash App for our ecosystem as they have increasingly adopted multiple products such as Cash Card and Bitcoin within their first month after on-boarding. Moving to Seller, where our omni-channel offerings are driving growth, gross profit in the fourth quarter was $427 million, up 13% year-over-year with Seller GPV up 6% year-over-year. To help sellers adapt during the pandemic, we have continued to build-out our omni-channel capabilities and these offerings have gained meaningful traction. Omni-channel and online sellers represented more than half of Seller GPV in the fourth quarter, which is up from one-third two years ago. Our mid-market category, which consists of Seller with more than $0.5 million in annual GPV, is where we see our largest market opportunity for the Seller business and a focus area for our acquisition efforts. We saw strength here in the fourth quarter, despite the impact of the pandemic. Gross profit from our mid-market sellers grew 27% year-over-year, which is approximately 2 times the gross profit growth of our overall Seller business. Looking at profitability, adjusted EBITDA was $185 million in the fourth quarter. The year-over-year increase was driven by gross profit growth and also benefited from the release of $43 million in transaction loss provisions related to our Seller business as actual loss rates trended more favorably than we had previously estimated. Next, we wanted to share early trends in our Cash App and Seller businesses during the first quarter and what this could mean for growth going forward. In January, Cash App delivered gross profit growth of 164% year-over-year, a two-point improvement from the fourth quarter. We achieved strong acquisition of customers and drove increased product adoption with our highest monthly total of new transacting active customers for Bitcoin, stock brokerage and Cash Card. January growth benefited from government fund disbursements, which began during the last few days of December and led to an increase in fund pulled in to Cash App. These fund trends during the first three weeks of February; we estimate Cash App gross profit growth to be approximately 130% year-over-year. Growth in February decelerated compared to January or the impact from government funded disbursements normalized partly offset by continued strength in acquisition and peer to peer network volumes. We are watchful of broader macro trends and any new policies, which could influence the pace of growth. As a reminder, we will start lapping particularly challenging growth comparisons in the second and third quarter of this year. In January, our Seller ecosystem achieved 15% gross profit growth, a 2 point improvement from the fourth quarter and GPV grew 5% year-over-year. Through the first three weeks of February, Seller GPV was up 2% year-over-year, a 3 point deceleration from January, but excluding the temporary impact of recent weather across regions in the US, we estimate seller GPV growth would have been comparable to January and we have seen an improvement in certain regions where restrictions have eased. Looking ahead, we expect to continue to observe variability related to the macro environment and regional shelter-in-place restriction, which could impact our performance. We will also begin to lap the initial impact of the pandemic on the Seller business in late March. Seller gross profit grew faster than GPV in 2020, in part due to higher transaction margins, which benefited from a greater mix of debit card-not-present transaction, higher average transaction sizes and from our card present price change implemented in November 2019. We expect to lap these mix changes for transaction margins and for transaction margins to normalize towards the end of the first quarter, so GPV may grow faster than transaction profit as in person transactions resume in future quarters. Finally, in 2021, we are investing for long-term profitable growth. Given the opportunity ahead of us, we expect to increase non-GAAP operating expenses, excluding risk loss by 41% year-over-year or an incremental $800 million to $900 million compared to 2020 levels. We intend on continuing to invest where we see attractive returns, even in the face of their ability and macro trends.  And as a result, adjusted EBITDA margins may vary depending on top line growth. Both our Cash App and Seller ecosystems had delivered strong cohort economics, including acquisition, retention, paybacks, and returns on investment. Cash App has proved out and scaled a strong business model. We have acquired new transacting active customers for less than $5 on average in paid marketing through 2020. For existing customers, we've increased their engagement over time with gross profit retention of more than 130% for each of the last three years. As a result, we've achieved strong returns on investment of 6 times or greater over a three-year period with 2020 cohorts pacing ahead of even this and we intend to ramp up investments into new marketing channels and strategies in 2021. We have also been encouraged by Sellers’ cohort economics. We saw strong customer acquisition in 2020 on-boarding our largest cohort as new sellers on a gross profit basis, which is pacing at an estimated five-quarter payback. In the midst of the pandemic in 2020 gross profit retention stabilized down approximately 10% year-over-year in the second half of the year. Our more recently acquired Seller cohorts have seen a stronger rebound in gross profit than older cohorts, which is partly driven by stronger acquisition of larger sellers in recent years.  Prior to the pandemic, Seller had achieved positive gross profit retention and returns on investment of 3 times over three years as Sellers stayed with Square and grew their businesses with us. Looking ahead to a recovery, we plan to continue investing behind these strong returns to reach new sellers and drive growth.  In summary, we remain committed to our purpose of economic empowerment by continuing to serve our existing customers and reaching those in new markets. We’re focused on driving long-term profitable growth and are eager to invest behind the compelling returns for both our Cash App and Seller ecosystems. I’ll now turn it back to the operator to start the Q&A portion of the call.
Operator: [Operator Instructions] Your first question is from the line of Tien-Tsin Huang with JPMorgan.
Tien-Tsin Huang: Thanks so much. Nice to speak to you all. Just a lot of good information here. I have a big picture, maybe a simple question on priorities. If you’re investing a lot, it seems to make sense here. Are you prioritizing user acquisition first followed by improving engagement or product development across both ecosystems, given what you’re talking about here with low CAC and big ROI? I can definitely make the argument for you guys to spend more. So just your thoughts on acquisition versus engagement here in 2021?
Amrita Ahuja: Thanks for the question, Tien-Tsin. We have historically shown an ability to do both. When you think about our TAM expansion over the years from our last Investor Day in 2017 to our more recently disclosed TAM opportunity of $160 billion, we’ve grown TAM by $100 billion, $40 billion on the Seller business with new product launches, new geographic expansions and $60 billion on the Cash App ecosystem. And we see an opportunity for further TAM expansion, investments in new products and in new markets and all of that is while also growing the base of our customers.  Cash App grew by 50% in terms of monthly transacting customers at the end of this year to $36 million and we on-boarded our largest cohort of Square sellers during 2020 with each quarter growth on a year-over-year basis for our cohorts that we’ve added. So we see an opportunity in both areas and we’ve shown again a track record of focus on both expansions of opportunity as well as going deeper in our existing markets.  Maybe I’ll explain a little bit about what we’re seeing in terms of cohort economics that lead us to continue to want to invest in both areas. So as you mentioned, we’re planning to invest $800 million to $900 million in terms of incremental investments in 2021, that’s roughly 50% of that step-up will go towards sales and marketing and about a quarter of it will go towards R&D across both ecosystems.  The final piece will go towards G&A, which continues to build on the foundation for the company. But as we think about that sales and marketing growth, what’s giving us the desire and confidence to lean in here are the cohort economics, which are really compelling as you think about the combination of both efficient acquisition and engagement on the existing products that we have let alone engagement on the products that we could be building in the future, we are building for the future. With Cash App, we’ve seen a 6x ROI over three years on the back of efficient acquisition at less than $5 per customer, again, calling upon our network effects – very strong network effects that where we’ve seen strong volumes in peer-to-peer and that continues to be a strong front door for us. But then also very strong gross profit retention at over 130% for each of the last three years as our - we’ve maintained the vast majority of our customers and they’ve grown on our platform.  For the Seller business, similarly, we’ve seen cohort economics pacing at five-quarter payback, 3x return on ROI over three years and historically prior to the pandemic, positive gross profit retention. So we see an opportunity in terms of the cohort economics that we’re driving to continue to lean in. And finally, we do see an opportunity to drive further engagement with our existing products. When we think about, as we mentioned in our Seller - within the Seller ecosystem continued increasing next to our mid-market sellers, larger sellers who tend to adopt more products, 2.5 products today, so we see an opportunity for uplift. When our sales team uses AI and ML technology, they see a 15% uplift in product adoption.  And similarly, for Cash App, we’ve seen in the first months that our Cash App customers onboard into our ecosystems, an increasing proclivity to adopt new products like stocks, like Bitcoin, like Cash Card. But there is so much more opportunity here, as we think about increasing product adoption for our current customer set to go even deeper to provide daily utility to those customers. So we’re really focused on both and have showed a track record here driving both acquisition engagement along with broader TAM expansion.
Tien-Tsin Huang: For sure. Appreciate the thoughts and metrics.
Operator: Your next question is from the line of Darrin Peller with Wolfe Research.
Darrin Peller: All right. Hey, thanks, guys, and congrats on a good year. A tough – obviously, tough environment for everybody. But when we look at omni-channel and online being greater than 50% of total Seller GPV, clearly, the online and card-not-present experiences are resonating, and we saw 12% GPV growth overall, including Cash App business, and obviously held by that mid-market for larger business client.  I think it was up 27% there. Can you just touch on what's resonating with both consumers on the merchant side and Square's offerings enabling this? Because the move from what – previously being much more card-present centric to where you are now, 50% omni has been pretty dramatic. And when we think about all of that, where do you see that going in terms of sustainability and investments you can make in that to keep that level of really sustainable 50%-plus potentially? Thanks, guys.
Jack Dorsey: Hey, Darrin, thanks for that question. So omni-channel is a really big part of our strategy, because it's not just focused on serving e-commerce or offline, it's looking for opportunities in every single way that a business might attract customers. That's through marketplaces, it's through API. I think the most attractive thing is really its flexibility. We are now seeing a lot more of our mid-market sellers and larger sellers, utilize our APIs and platforms, so that they can build a custom solution and really make sure that they're crafting the experience that they want.  We think there's a continued great opportunity here. That is going to be a big part of our focus on our roadmap for some time as we add new capabilities to the platform, as we add new methods and new channels for people to sell in. The second part that I think differentiates us is we're not just focused on one vertical. We are flexible enough to handle any vertical.  And as I talked about on previous calls a lot of what we're seeing today is creativity with Sellers. They're mixing and mashing up different verticals to have typically restaurant type businesses who are doing more retail things and vice versa and services are doing more retail. And we don't really take a point of view on what category you should be. We're going to make sure that we're just there to help you make the sale no matter what you're trying to sell on whatever channel you're trying to sell it with.  So obviously, we saw a lot of this momentum with COVID, as people opened their eyes towards the rest of our platform, and we quickly reprioritized a lot of our efforts to make sure that we could support that growth and that we could enable more of it. But I don't think that behavior is necessarily going away. I think – and before COVID, there were a lot of merchants who were hesitant to try new things or the thing that was working they wanted to stick with. But it was a forcing function that people allowed themselves to open their eyes to more and they found a lot more efficiency and they found a lot more sales because of it. So we're going to continue watching and learning, but we think this is a pretty stable path for us.
Amrita Ahuja: And Darrin just to add – yes, just to add to your point about investments and sustainability, we've seen over 50% growth from our some GPV from our online channels for about two years now, now in 2020, we saw an acceleration in that Square Online growth compared to 2019. And we're going to continue to push there in terms of our product development and feature richness.  When you think about mid-market as well to your point, that's our larger sellers now are 60% of seller GPV in the fourth quarter up from 52%, two years ago and with gross profit from mid-market outpacing the blended seller average by 2 times, and with our cohorts now coming in indexing to larger, we see an opportunity to continue to invest against the larger ecosystem. When we think about addressable market for larger sellers where at less than 1% penetrated in that opportunity, and there's three areas of investment to help us unlock that. First is marketing, which has talked about awareness marketing around the broader ecosystem are coupled with product specific campaigns, targeting the products that resonate with larger sellers, whether it's vertical points of sale, online, restaurants, et cetera. Second is a sales team. We'll be doubling the size of our sales team in 2021. So that we can continue to increase our outbound research – outreach to larger sellers. And then third, product, as Jack mentioned, our developer platform is really key for serving more complex seller needs, our vertical software additionally, these are some of the areas that we'll be increasingly investing in to drive further opportunity here.
Darrin Peller: That's really helpful. Thanks, Amrita. Thanks, guys.
Operator: Now question from Cash App customer – I'm sorry if I mispronounced it, Ignacio Diaz Garza.
Unidentified Analyst: Hello, good afternoon, everyone. My name is Ignacio Diaz Garza, and I'm a Cash App and I'm a Founder of a surfing platform called OANDA. I use Cash App to invest in stocks and Bitcoin, send money to friends, as well as spending using the Cash Card. My question is this Cash App plan to provide more education for customers and its investing product. For example, adding more end up financials, analyst ratings, and research reports regarding the stock.
Jack Dorsey: Yes. Thank you for being a customer. We do plan on adding more educational resources. We think a big part of what we did both with Bitcoin and also with our stocks product is making sure that people had the information available to them to make informed decisions. And we’ve done this recently by putting news articles right in the app. So you’ll be able to see all the latest Bitcoin news or all the latest news on any particular stock that you visit. And we created two instructional books for both Bitcoin and for stocks. And we think there’s a lot of opportunity to do even more within the product. And also as we look at improving our customer service, as I mentioned in my opening remarks, there’s going to be more opportunity to do things there as well. So we think education is a big part of what we need to do and it’s definitively on the road down.
Unidentified Analyst: Perfect. Thank you so much.
Operator: Your next question is from the line of Lisa Ellis with MoffettNathanson.
Lisa Ellis: Good afternoon. Thanks for taking my question. Good stats here on Cash App. I believe a year ago, the gross profit mix within Cash App was roughly 60% instant deposit if I’m remembering right, 30% Cash Card and about 10% in Bitcoin and other miscellaneous fees. But obviously a lot has happened in the last year. And I know you called out the high adoption rates of some of the other products over the course of the last year. Can you give some updates on what the current GP mix looks like for Cash App and how you see that evolving? Thank you.
Amrita Ahuja: Sure. Thanks for the question, Lisa. So, let me sort of step back and talk about the strong unit economics and the growth of the business model over time. I spoke a little bit earlier already to efficient acquisition driven through network effects for growing our customer base, while also growing the per customer engagement and monetization through strong retention within Cash App, retention at over 130% and ARPU, gross profit per customer growing 70% year-over-year to $41 in the fourth quarter. When you think about how we’ve been able to do that, it’s the growth and the breadth of the platform for Cash App with now four revenue streams driving more than a $100 million each approximately, $100 million to more than $100 million each in gross profit in 2020 versus only one back in 2019. And that includes as you mentioned, some of the instant deposit Cash Card, Cash for Business and Bitcoin now. But we still think we’re in the early days as customers have used multiple products on the platform, they’ve generated 3 to 4 times greater gross profit historically. And this has led to our growing gross profit per customer and with so earlier here Cash Card has our strongest adoption to date and still remains at roughly one in four in terms of adoption from the mostly active base into the bottom of the active base and the monthly Cash Card usage. And Bitcoin is at about one in 10. So we see a real opportunity to drive adoption – further adoption into our existing base of products and with our existing base of customers and then layer on top of that, the opportunity to grow the customer base and grow the products over time. One of the really interesting ways that I think Cash App has to drive that sort of differential product adoption is the Boost aspect of Cash Card. Boost has been an interesting lever for us. It’s been a powerful tool to drive engagement and adoption, not only with Cash Card, but also to graduate our customers to a broader ecosystem of products, so that we can diversify their experience, provide greater daily utility and ultimately build multiple revenue streams within our app. Within – as you think about Boost as a tool within Cash Card, it’s differentiated and that it provides, it expands access really to instant rewards, no credit profile or fee required. And those rewards can be personalized to the customer in real time. And so it has been an acquisition tool for us, and it’s also been an engagement driver Boost active spend 2x more on their Cash Card than other cards active. But what we’ve started experimenting with in the fourth quarter is how Boost is a differentiated tool graduate customers’ to broader ecosystem of products. In the fourth quarter as Bitcoin demand was growing, we launched a Bitcoin Boost where Cash Card customers could get rewards in Bitcoin. And what we saw there was that half the customers boosted were new to Bitcoin and nearly a third of those who are new to Bitcoin, went on to purchase their – make their first Bitcoin purchase in the following month. Similarly, we drove a Boost with paycheck deposits, where we launched a unique Boost for new direct deposit customers. And we’ve experimented Boost for a given time or merchants that will broadcast over social media. And so those have given awareness within the Cash App ecosystem of the broader product that, which I think is a key lever that we have moving forward and how we can influence product adoption and ultimately growth of multiple revenue streams within in Cash App.
Lisa Ellis: Terrific. Thank you.
Operator: Your next question is some line of Timothy Chiodo with Credit Suisse.
Timothy Chiodo: Great. Thanks a lot for taking my question. I wanted to touch on Credit Karma. Maybe you could give some added context around the e-tax filing opportunity for Cash App, whether it be retention, reactivation, new users and also how this could be something that we really should look for in Q4 for years to come. And then also a little bit more on the potential to turn some of these users into direct deposits, starting with your cash refund and then obviously, hopefully payroll down the road.
Jack Dorsey: Yes. We saw a pretty obvious opportunity in acquiring Credit Karma. As we’ve talked about on these calls, our roadmap consists of making sure that we’re focused on the most critical needs for our customers and accessing the economy and providing them really simple tools to empower them. Tax is obviously a big part of that and anything we can do to make it easier for people to manage and file their taxes is something we’re signing up for. More than 2 million individuals filed their taxes using Credit Karma tax last year. And a lot of these solutions are pretty complicated and time consuming. And as we’ve done with all of our products within Cash App and throughout the Seller ecosystem, we want to take a very strong point of view that they should be simple to work really hard to simplify them as much as we can. And as to your other question, we think any of these critical solutions to problems people are having generally accessing the financial system will lead to using other products in our ecosystem. This is our whole strategy. People might come in because they received money from a friend using the peer-to-peer aspect, and then may discover the ability to buy stocks or buy Bitcoin, then discover that they can get a card and they can get their paycheck deposited to it and now they can file the taxes with it. So each one of these things, we believe positively reinforces the other. And we have people who are hiring us for to serve multiple jobs instead of being dependent and overly dependent upon just one, which would be a single point of failure for us. So we think there’s a lot of opportunity here and we’re starting with Cash App, there’s probably more we can do on the Seller side as well. But it’s a really strong start and one we’re pretty excited about.
Timothy Chiodo: Great. Thanks a lot. That was bit of [indiscernible] it sounds like you kind of touched on, I was wondering if there was anything you could mention in terms of maybe there’s an opportunity to leverage the Credit Karma tax filing assets into the Seller ecosystems, but it sounds like maybe that’s down the road.
Jack Dorsey: Yes. That’s the other benefit of our ecosystem charging. And the fact that we have two, that a lot of what we build for Cash App might be able to find this way easily into Seller and vice versa. And we’ve demonstrated that in the past. So we expect a lot more of those internal efficiencies and eventual future sharing as time goes on.
Timothy Chiodo: Great. Okay. Thanks a lot for taking my questions.
Jack Dorsey: Thank you.
Operator: [Operator Instructions] Our next question is from the line of Harshita Rawat with Bernstein.
Harshita Rawat: Hi. Good afternoon. Thank you for taking my question. So you disclosed Cash App users at $36 million, up 60% year-over-year. Now as you look your user base today and do competitive benchmarking, how much overlap do you see between Cash App users and users of other platform? And also how does the customer acquisition and engagement in Cash App different versus your competitors? Thank you.
Jack Dorsey: Yes. So I – back to the previous answer, like I think our greatest strength, both in Cash App and Seller is the fact that we are creating ecosystem of tools and solutions for people. We’re not focused on just being peer-to-peer or just being a stock investment, or just being Bitcoin purchase, but finding the simplest and easiest and most accessible path for each, we believe is going to be the strongest approach. And of course, there’s probably some overlap in many of those, but our thesis and what we’re driving towards is when you find everything in one place and it’s super easy, and you can do things because of the connections that you can’t do on other platforms, because they’re all in one app, they’re all in one service that ultimately is the winning service and the winning pick. So we imagine there’s a lot we can do, and we’ve shown this – we’ve shown some of these things like the Boost program that tie to direct deposit that other services just aren’t able to do. So in terms of acquisition, we don’t have to be focused on just one thing, we need to show that like, someone coming in for peer-to-peer, it’s the easiest way to send money ever. And once they come in for that that it’s very simple for them to discover everything else that we offer. So we’re really looking internally and inward at how we make all of these features more accessible and bring them to the surface for people so that they can activate them right away and start using them and not have to go to multiple apps to do the things they want to do every single day. And the same is true, as I said for Cash App, but the same is true for the Seller business as well.
Harshita Rawat: Thank you very much.
Operator: Your next question is from the line of Josh Beck with KBCM.
Josh Beck: Thanks for taking the question. I wanted to follow-up a little bit more on Boost. It certainly seems like it’s expanded beyond a rewards program and you’re finding lots of other use cases to drive new product adoption. The other thing that seems to be happening is you’re acquiring a lot of scale with respect to, and they use with respect to spending pattern, spending category. So I’m curious, have you had or progressed much on the advertiser discussions in terms of maybe wanting to help fund some of those rewards? Or should we really think about it as it’s really in a heavy engagement in multi-product adoption phase and monetization perhaps via advertising contribution is something that’s further down the road.
Amrita Ahuja: Hey, Josh.
Jack Dorsey: Yes, you’re pointing to – sorry, Amrita. You’re pointing to the potential, but our focus right now is, we think there’s a lot of experiments that we can run that will indicate like, the ultimate directions that we should go with the Boost program. I’m really excited about the location aspect. Being able to understand where someone is and specifically like what local sellers around them and offer them a reward that they’re actually going to value and actually going to use and do so instantly is a really, really powerful idea. And we can expand that even more by opening up down the line, but this is another area where it shows the strength of having these two ecosystems, both on the seller side and also on the individual side. But we're still in the phase of making sure that we're building a product that people value that is extremely easy. You don't even have to think about it in order to use it and continuing to looking for opportunities to broaden it. But right now focus on making sure all the capabilities and the attributes are there and it's just getting stronger and stronger every day.
Amrita Ahuja: And I would just add Josh that we have the ability to be dynamic and how we should spend with respect to boost the way we built the program is a flexible dynamic and potentially personalized program. And so we've been able to manage our costs here in returns more efficiently, and frankly, on a week-by-week basis. About less than 5% of cash card transactions were boosted in the fourth quarter. So we sort of see boosters is punching above its weight, frankly in terms of its ability to impact the broader ecosystem given the relatively only one in 20 transactions are actually boosted. It really shows cash cards utility extend beyond boost. And of course we're working on expanding our merchant relationships. We've seen boosts ability to drive a lift and acquisition at a compelling and low customer acquisition costs for various partners. So we'll continue to be working with them. On cash cards spend more broadly, we've seen average spend per customer increase in the first fourth quarter on a year-over-year basis with continued mix of spending very diverse across food, grocery, gas, utilities, retail during COVID. So there are multiple ways that we can use the card program coupled with the boost program to drive unique returns to our customers and increasingly potential for merchants as well.
Josh Beck: Okay. It sounds like lots of levers there. So appreciate the context from both of you. Have a great day.
Amrita Ahuja: Thanks.
Jack Dorsey: Thank you.
Operator: Your next question is from the line of Dan Dolev with Mizuho.
Dan Dolev: Thank you. And thanks for taking my question. So Jack, in the past you talked about kind of the Holy Grail being connecting to two ecosystems, and you came up with the cash-by Cash App [indiscernible] recently. And we think this is maybe an attempt to think about how to connect to ecosystems and then down the road, maybe even offer like an alternative checkout thinking. Talk about kind of the long-term strategic...
Jack Dorsey: The team did an amazing job with the cash-by Cash App. So we wanted to cash is definitely rich culture and we want to make sure that we're emphasizing that as much as we can. We have a really cool customer base and they love the Cash App and we wanted to ensure that people could express that in various ways, and that's why we relaunched the apparel line, but it also gave us an opportunity to demonstrate both the power of having something like Square online store in our company and also what it means to be able to pay with the Cash App directly. And this is obviously early but you can imagine where it might go. As we make it even faster, we make it even easier. And I think it draws both on the Cash App ecosystem and as acquisition opportunities there and also for the seller ecosystem. As we've talked about on this call, I think there's a lot of opportunities between the two ecosystems and we are going to explore the most important ones. We've done a lot of internal connections between the two ecosystems and now we're focused on more of the customer facing thing connections. And the solo business have an opportunity to strengthen each other, and...
Dan Dolev: Thanks again. Amazing results. Appreciate it.
Jack Dorsey: Thank you.
Operator: Your next question is from the line of George Mihalos [Cowen and Co.]
George Mihalos: Congrats on very strong results again. Just wanted to ask the strength that you're seeing in the mid-market sellers, how vertical specific is that? Or is it sort of broad based? I know you have a number of very vertical specific solutions out there that are designed to resonate with somewhat larger merchants and it also the 40% of sales coming in from your salesforce efforts. What was that number maybe year ago? Thank you.
Amrita Ahuja: Yes, maybe I can start a thought here. Thanks for the question, George. What we're seeing with mid-market sellers is fairly broad-based strengths particularly during COVID, if we think about the pairing of strengths in our omni-channel efforts, as well as strength moving up market we've been able to progress in our ability to serve restaurants. You can think about just even more recently, the couple of products that we've launched, where that helps many restaurants adapt quickly in the changing environment, kitchen display system, on demand and Seller power delivery – hope sellers adapt, restaurants adapt and help us a lot going up market with restaurants.  When we think about verticals that have found success relative speaking success in this environment, we have seen the strongest year-over-year growth in verticals like health and fitness, home and repair, and retail verticals in the fourth quarter as well as those verticals have helped – have continued to find ways to adapt in this challenging environment. And as we think about the sales team, again looking given the – 40% sort of engagement of our mid-market sales coming via the sales team has grown over time. As we've enabled greater efficiency for our sales team through AI and ML technologies.  And as mid-market seller has taken on more products on our ecosystem. We see, as I mentioned earlier, mid-market sellers taking on 2.5 products on average in our ecosystem. And we think given the variety of the breadth of products that we provide across hardware, software, payments, and financial services, that there's an even greater opportunity to offer those additional products to larger sellers over time to be able to meet their more complex needs.
George Mihalos: Thank you for the color. 
Amrita Ahuja: Thanks. 
Operator: Your next question comes from the line of Dan Perlin with RBC.
Dan Perlin: Thanks, good evening. And there's a lot to digest here. So I appreciate all the information. The question I have is maybe for Amrita, can you just talk a little bit about the cadence of this investment, that you guys have outlined to understanding you highlighted $110 million or so in the first quarter kind of suggest that maybe it's a little more back in load and I just feel like given all this opportunity, that is facing the company, it might be bigger.  And then I think if I'm not mistaken, you also took up behind that range, maybe $50 million. So I'm just wondering what was the incremental opportunity that you saw that you wanted to see decline. Thank you. 
Amrita Ahuja: Sure. Yes. So the overall investment step up that we envisioned for 2021 is $800 million and $900 million, previously we had said $800 million to $850 million. This is really just about completing our annual plan process or budgeting process and seeing opportunities to lean in given the strong with folks we've driven from a cohort economic and payback in our life perspective that we were talking about earlier. So we see this as really just a refinement of the earlier numbers we shared with you and a reflection of the opportunity ahead.  In terms of how those investments spread across the business and then how they spread across the year, as you think about the ecosystems, we plan to invest directly about 60% of that step up into Cash App and 40% into Seller. And in terms of areas of spend about half of the step up going into sales and marketing, and about a quarter each in the product development and G&A as we build upon the foundation and expand our product breadth. In terms of timing as mentioned, Q1 is an important quarter for us to lean into investments from a sales and marketing perspective, especially as you think about the Seller ecosystem, where many sellers are thinking about, who they're going to hire for their various needs coming out of the holiday period. And so that is an area that we want to invest, but if you think about the broader $800 million to $900 million, of course, there's a component that – progression that you see as well from quarter-to-quarter. 
Dan Perlin: Okay, great. Thank you. 
Amrita Ahuja: Thanks.
Operator: And our last question is from Jason Kupferberg with Bank of America.
Jason Kupferberg: Hey, thanks. Just a two-parter on Bitcoin. First off the revenue there, I think it was only up around 7% or 8% quarter-over-quarter, even though obviously the price of Bitcoin skyrocketed and obviously been a lot of retail trading. So I was curious if there were any don't worry call outs there. And then just wanted to get your guys' perspective on pros and cons of Bitcoin versus the types of central banks in the world. Thank you.
Amrita Ahuja: And in terms of Bitcoin quarter-over-quarter growth, we've continued to see strong adoption with 3 million customers across Bitcoin throughout the year for Cash App and in January, so 1 million new to Bitcoin in the month. So increasing awareness that, that building through time, and I think you'll see that reflected in the results as well with Bitcoin gross profit, which is how we sort of anchor to the economic impact to our business Bitcoin gross profit growing meaningfully on a year-over-year basis and also on a quarter-over-quarter basis.  And as we think about the opportunity year-over-year basis in Cash App and continues to be a strong front door for us as you see product adoption increasing for customers in their first be here, but you're right, it's still early days, only about 1 in 10 customers on Cash App are using the Bitcoin product and we see an opportunity to grow that over time.
Jack Dorsey: Yes, our thesis around Bitcoin is really quite simple. We believe the internet. We'll have a native currency. The internet has broken through so many barriers all around the world for every industry. And we do think money and currency are a big part of that future. And it doesn't take a lot to imagine, but certainly, that will exist and that it will be Bitcoin. And the reason why is it is completely open. It is driven by consensus. It is something that anyone can see and no particular third-party can actually control.  And that really speaks to the principles of the internet. And as more people participate, not only in investments, but also through products and through development, it gets even more trusted and more solid and more secure and something that more people can utilize. And that's our goal is to help people understand what Bitcoin is, what it can be used for it and make it a whole lot more useful and accessible for anything that they want to do on the internet.
Jason Kupferberg: All right. Thanks so much.
Jack Dorsey: Thank you.
Amrita Ahuja: Thank you.
Operator: And I'd like to turn the call back over to the company for closing remarks. 
Jason Lee: Thank you, everyone for joining our call. I would like to remind everyone that we will be hosting our first quarter 2021 earnings call on May 6, 2021. Thanks again for participating today.
Operator: Ladies and gentlemen, thank you for participating in today's program. This does conclude the program. You may all disconnect.